Operator: Thank you for joining us for Navios Maritime Partners third quarter 2016 earnings conference call. With us today from the company are Chairman and CEO, Ms. Angeliki Frangou; Chief Financial Officer, Mr. Stratos Desypris; and Executive Vice President of Business Development, Mr. George Achniotis. As a reminder, this conference call is being webcast. To access the webcast, please go to the Investors section of Navios Partners’ website at www.navio-mlp.com. You’ll see the webcasting link in the middle of the page and a copy of the presentation referenced in today’s earnings conference call can also be found there. Now, I’ll review the Safe Harbor statement. This conference call can contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 about Navios Partners. Forward-looking statements are statements that are not historical fact. Such forward-looking statements are based upon the current beliefs and expectations of Navios Partners management and are subject to numerous material risks and uncertainties, which could cause actual results to differ materially from the forward-looking statements. Such risks are more fully discussed in Navios Partners filings with the Securities and Exchange Commission, including the company’s most recent 20-F. The information discussed in this conference call should be understood in light of such risks. Navios Partners does not assume any obligation to update the information contained in this conference call. Now, the agenda for today’s call is as follows. First, Ms. Frangou will offer opening remarks. Next, Mr. Desypris will give an overview of Navios Partners financial results. Then Mr. Achniotis will provide an operational update and industry overview. Lastly, we’ll open the call to take questions. Now, I’ll turn the call over to Navios Partners’ Chairman and CEO, Ms. Angeliki Frangou. Angeliki?
Angeliki Frangou: Thank you, Laura. Good morning to all of you joining us on today’s call. For the third quarter of 2016, we recorded $50.3 million of revenue and $13.4 million of EBITDA. Our quarterly results were affected by a one-time impairment charge of $20.8 million sale proceeds from HMM’s share that we received in connection with the out-of-court restructuring of HMM. While this impairment was substantial, we believe that the net result of this transaction was very beneficial for the company, given the overall impact on our balance sheet and liquidity. Adjusting for the impairment charge, we had an EBITDA of $32.8 million and $6.1 million in net income. Slide five details the management of our balance sheet during this difficult year in the drybulk and container market. Since the beginning of 2016, we have reduced debt by almost $107 million. To do that, we prepaid $25 million of principal on the Term Loan B and $81.9 million under the bank credit facilities. This $107 million reduction in debt excludes our incurrence of a $29 million working capital facility bearing interest rate of LIBOR plus 4%. We also agreed to sell the MSC Cristina for a net sale price of $125 million. We expect to receive proceeds of $106.25 million upon delivery of the vessel and $18.75 million balance will be in the form of a guaranteed sellers credit and payable to us in 16 equal quarterly installments. The credit will accrue interest of 6% per annum, which will total about $2.2 million for the term of the loan. NMM also agreed to acquire a Capesize vessel for the purchase price of $15.1 million, scheduled for delivery in December 2016. The vessel will be chartered out until September 2017 at a net rate of $9,418 per day, adjusted for a 50% of the full P&L. This vessel, along with six other drybulk vessels, will be added to the Term Loan B collateral bucket, helping to increase the overall collateral in 2016 by about $100 million, of which $48.5 million was to the contribution of the container vessel Yang Ming Unity. Finally, as I mentioned in my opening remarks, we increased liquidity by $20.8 million through the sale of shares received as part of the HMM charter restructuring. Please turn to slide six. During the quarter, we prepaid and partially modified our commercial bank facility. Through this effort, we moved certain collateral out of the facility and contributed them to the Term Loan B facility. Diving into the details, we reduced our commercial bank loan by $30.2 million of nominal value through a $28 million prepayment. We had a $2.2 million benefit to the nominal value in doing so. Six drybulk vessels, valued at $37 million, were removed from the collateral bucket and then modified bank facilities now secured by three drybulk vessels. The facility has a $31.9 million balloon payment, which we believe should be easy to refinance due to the improved collateral bucket. As a result of the above-mentioned modifications, a $50.5 million in additional collateral was contributed to the Term Loan B facility. This includes six drybulk vessels valued at $37 million that we transferred from the commercial bank facility and $13.5 million in cash collateral, which will be replaced with a Capesize vessel that we expect to be delivered to us in Q4 of 2016. These seven vessels with the Term Loan B should provide additional collateral security as the drybulk market improves. We would also like to provide an update regarding our counterparty Hanjin that filed for rehabilitation on August 31, 2016. NMM has two Capesize vessels chartered to Hanjin for a net rate of $29,356 per day till December 2020. Both vessels were returned to Navios commercial management in September and have been re-chartered to third parties. The net impact to our annual EBITDA in the current market is expected to be about negative $12 million annually. Navios [indiscernible] claims for all of the EBTIDA as well as managing these vessels to mitigate this lost amount. Slide seven demonstrates NMM position as a unique platform for growth in the drybulk sector. Our contracted revenue covers all our costs for 2017 and our commercial and technical management costs are fixed through December 2017 at rates that are about 17% below industry averages. Let me remind you that we pay no additional fees for sales, purchases or financing of our transactions. Moreover, we have the ability to generate significant free cash flow. The table on slide seven sets forth our potential cash generation for the remainder of 2016 and 2017. As you can see, even in this low charter rate environment of today, we should be able to generate about $21 million for the remaining three months of 2016 and about $84 million for 2017, assuming steady operating costs and current market rates for our open days. Slide eight shows our liquidity. As of September 30, 2016, we had total cash of $42.2 million and a total debt of $554.5 million. We have a low net debt to book capitalization of 42.9% and no significant debt maturities until 2018. At this point, I would like to turn the call over to Mr. Stratos Desypris, Navios Partners CFO, who will take you over the results for the third quarter of 2016. Stratos?
Efstratios Desypris: Thank you, Angeliki. And good morning, all. I will briefly review Navios financial results for the third quarter and nine months ended September 30, 2016. The financial information is included in the press release and summarized in the slide presentation on the company’s website. Moving to the financial results, as shown in slide nine, our revenue for the third quarter of 2016 decreased by 11.8% to $50.3 million compared to $57.1 million for Q3 of 2015. The decrease was mainly due to lower time charter equivalent rate in the quarter of $16,968 per day compared to $20,305 per day for the same quarter of 2015. EBITDA for the third quarter of 2016 was negatively affected by the $19.4 million on the sale of HMM shares. Excluding this one-time item, adjusted EBITDA for the third quarter of 2016 decreased by 19.7% to $32.8 million, primarily due to the decrease of revenues. Except for the item that affected EBITDA discussed, net income has been also negatively affected by the $20.5 million non-cash accelerated amortization of intangible assets. Excluding the one-off items, adjusted net income amounted to $6.1 million. Operating surplus for the third quarter of 2016 amounted to $23.2 million. Replacement and maintenance CapEx reserve was $10 million. Fleet utilization for the third quarter of 2016 was almost 100%. Moving to the nine-month operations, time charter revenue for the nine months decreased by 17.3% to $140.9 million compared to $170.4 million in the same period of 2015. The decrease was mainly due to the decrease in time charter equivalent rate achieved in 2016 of [indiscernible] per day compared to $20,267 per day in 2015. EBITDA for the nine months of 2016 was negatively affected by the $19.4 million loss on the sale of HMM shares and a $17.2 million impairment loss recognized on one of our vessels. Excluding these one-off items, adjusted EBITDA for the nine months of 2016 decreased by 23.5% to $89.9 million. The decrease was mainly due to the decrease in revenue discussed. Net income, excluding the one-off effect of the items that affected EBITDA, as well as the accelerated amortization of intangible assets, amounted to $6.7 million. Operating surplus for the nine months ended September 30, 2016 was $60.9 million. Turning to slide ten, I will briefly discuss some key balance sheet data as of September 30, 2016. Cash and cash equivalents was $42.2 million. We do not have any significant immediate debt maturities or committed growth CapEx. Net debt to book capitalization was 42.9% at the end of the quarter. As Angeliki explained earlier, in 2016, we reduced our debt by $106.9 million and we increased the Term Loan B collateral by almost $100 million. Furthermore, the expected completion of the sale of the MSC Cristina in Q4 is estimated to further deleverage our balance sheet and increase our available liquidity. Slide 11 shows the details of our fleet. We have a large, modern, diverse fleet with a total capacity of 3.4 million deadweight tonnes, with an average age of nine-and-a-half years. Including the newly acquired Capesize vessels we delivered, our fleet consists of 32 vessels, nine Capesizes, 12 Panamaxes, three Ultra-Handymax, and eight container vessels. In slide 12, you can see the list of our fleet with the contracted rates and the expected expiration dates per vessel. Our charters have an average remaining contract duration of 2.7 years. Over 75% of our contracted revenue is from charters longer than three years. Currently, we have fixed almost 100% of our available days for 2016 and we are approximately 60% fixed for 2017. The expiration dates are [indiscernible] charter duration extend to 2028. As shown in slide 13, we are an efficient, low-cost operator. We are benefitting from the economies of scale of our sponsor and we have fixed our operational cost at low levels until December 2017. Our fixed costs are almost 17% below the industry average. I’ll now pass the call to George Achniotis, our Executive Vice President of Business Development, to discuss the industry section. George?
George Achniotis: Thank you, Stratos. Please turn to slide 15 and the drybulk market fundamentals. Growth in world GDP generally coincides with growing raw material demand for steel/energy production, particularly as emerging markets [indiscernible] industrialize. According to the IMF, the rate of world GDP growth declined between 2014 and 2015 and is expected to remain stable at 3.1% in 2016. The rate of growth is forecasted to increase to 3.4% in 2017. Emerging and developing markets are expected to grow by 4.2% in 2016 and 4.6% in 2017. Between 2014 and 2015, drybulk fleet remained flat, with 2016 forecast to show an increase of between 1% and 2%. Since the all-time low of 290 BDI in mid-February of 2016, the drybulk market has increased with a BDI as of last Friday of 1,045. Turning to slide 16, import of iron ore into China have exceeded forecasted expectations. Through September, they were up 9% year-on-year. This is the result of the displacement of low-quality, expensive Chinese domestic production, which is down 7% through September, with high quality, low-cost iron ore imports. Steel production in China is expected to remain flat in 2016 versus 2015. Chinese steel exports increased at the beginning of the year, but have now decreased as more steel stays home to supply the improved domestic market. With demand for iron ore up, the delivered price to China has recovered. This has seen exporters outside of Brazil and Australia increase their shipments over the quarter, a reversal in the decline seen over the last few years. Please turn to slide 17. The Chinese domestic coal industry seems to be going through a phase of restructuring, similar to the one that the iron ore industry went through in the past several years whereby low-quality and economic capacity is being shut down. Domestic coal production is expected to be down by about 12% in 2016, a decrease of over 400 million tonnes. This has been replaced by additional imports which are expected to be up 14% by year-end, a complete turnaround from the decline in imports we have experienced in 2014 and 2015. Indian coal imports started the year declining by 4.3% in Q1. Since May, imports have increased year-over-year as domestic coal surplus have reduced and electricity production has grown. By year end, Indian imports are projected to be up by about 4%. Combined Indian and Chinese imports are up, now expected to increase by about 8% annualized, a major improvement from forecast at the start of 2016. Moving to slide 18, as of January 1, the 2016 order book stood at 92.7 million tonnes. Through October, 42.8 million dead tonnes delivered versus 81.9 million expected, a 48% non-delivery rate. This is the highest non-delivery rate in the last few years. The orderbook as of January 1 for 2017 and 2018 decreases substantially. In today’s market, with low charter rates, low vessel values and lack of bank financing, the fleet could contract further going forward as there is little incentive to add order for new ships. Turning to slide 19, the scrapping pace has reduced in the past few months. However, we’re still running at an annualized pace of about 32 million deadweight tonnes, the second highest a quart in terms of tonnes and close to the all-time record of 33.4 million tonnes scrapped in 2012. Looking at net fleet growth, the Capesize and Panamax fleets have shown minimal fleet growth over the last 18 months. The Panamax fleet has a negative growth since the beginning of 2016. Overall, net fleet growth for 2016 is projected to be around 2%. The table in the bottom right shows that there is an increasing pool of scrap candidates as the average age of scrapping reduces. The fleet average rate of scrapping has reduced from 30 years five years ago to 23 years today. We regularly see evidence of vessels under 20 years of age being scrapped. Looking at the total drybulk fleet, there’s 57 million deadweight tonnes 20 years or older and 117 million tonnes 15 years or older, giving plenty of potential scrap candidates going forward. With new ballast water treatment regulation set to be implemented next September, there will be further encouragement to scrap older vessels. Moving to slide 20, over the past 19 years, container trade has expanded at 7.2% CAGR. In 2016, container growth is forecast to increase by 3.4% and in 2017 by a further 4.1%. Maersk Lines, the largest container line operator, said in its Q3 report that there are signs that markets such as China, Brazil and West Africa have bottomed in the recent months. I want to remind you that Navios Partners container vessels are fixed for long-term charters, so they were not affected by the slackness in 2016. Turning to slide 21, at the beginning of November, the container fleet consisted of about 5,200 vessels of about 20 million TEU capacity. Vessels carrying 750,000 TEU have delivered during 2016 versus a projection of vessels carrying 1.2 million TEU, giving a non-delivery rate of 37% versus a non-delivery rate of just 11% in 2015. With an extended period of low charter rates, container scrapping has increased dramatically. So far in 2016, 145 vessels or about 100 million TEU have scrapped, which gives an annualized pace of almost 600,000 TEU or about 3.1% of the total container fleet. In 2015, only 92 ships were scrapped. Estimates are that TEU growth will be about 1.5% in 2016, lower than the estimated increase in container demand. With no incentive to order new buildings in the current environment, the balance between demand and supply should improve as we progress into 2017 and 2018. And this concludes my presentation. I would now like to turn the call over to Angeliki for her final comments. Angeliki?
Angeliki Frangou: Thank you, George. This concludes the formal presentation and we will open the call to questions.
Operator: [Operator Instructions] Your first question comes from the line of Noah Parquette of JP Morgan.
Noah Parquette: Thanks. I just wanted to ask, you guys have been really active and really on top of the term loan and staying in front of covenants. The debt doesn’t mature for a bit. But how do you think about what the next part of the capital structure is going to be when 2018 comes? Could you see this put it into more typical term credit facility or what are your thoughts there?
Angeliki Frangou: That’s a very good question. I think the one issue is that we have seen that the debt maturities and the flexibility of the company relies on being in a good stead there. We address the commercial banks, so that we prepaid $30 million in our banks and we got a lot of benefit from that. And we have now a very manageable maturity for Q4 2017 of $30 million with three vessels. On the Term Loan B, we have prepaid – we have added collateral of $100 million this year. From 2015, the $115 million, we prepaid $50 million. The way we look on the Term Loan B, which is a 2018 maturity, you have to realize that we are mark-to-market. So, loan-to-value is really what it is today. So, most probably, we can have two parts. Either we split it with two – with two consortium of banks, and that is why we prepaid one commercial bucket and we paid it in a commercial banking sector. That was the purpose of all these prepayments and additional collateral. And the one thing we can say is that we see recoveries – we see that the debt market is coming back. They’re reviving. And we follow them very closely.
Noah Parquette: Okay. And then, that leads into my next question is, you bought the Capesize. It’s interesting. It’s a good value probably right now. How do share repurchases factor into this calculus? You still have the ability to do it? The stock is such a discount to NAV. And is that still something you’re looking at as well?
Angeliki Frangou: I think collateral – we saw buying the Capesize made a lot of sense. We bought with 100% cash. And it immediately contributes to our bottom line. And that is a very important thing on the way we are structured. After the restructuring of HMM and the Hanjin development, you have to realize that we have a very healthy cash flow. Our contracted revenue covers our entire cost and we have about $10 million next year of free cash and we have 7000 days approximately open. So, our strategy now on all our drybulk vessels is to have a flow and profit sharing index, so we really can capture this healthier market, albeit from a very small – low level. Still we’re only at 1,000 of the BDI. But we are able to really – and despite this, to be able to capture it.
Noah Parquette: And then, with the Hanjin and HMM, that took a lot of the risk off the table down certainly. But there are still a couple of charters that are still above market. Have you had any other issues with your counterparties? Any delayed payments?
Angeliki Frangou: No. At this point, HMM is restructured. So, we have visibility of that. If you have seen, we already sold our equity position, the shares we had. And that gave us $20 million of free cash immediately. And there is no other company. The Yang Ming is owned by the Taiwanese government. 
Noah Parquette: Okay. That’s all – just really a quick modeling question. What happened to the depreciation expense in the quarter? Looks like it went up quite a bit.
Efstratios Desypris: Due to the fact that we have this Hanjin developments and we had to take the delivery of the vessels during the last quarter in Q3, in terms of [indiscernible] approximately $20.5 million in this quarter, which, of course, it’s a one-off item and will not be repeated.
Noah Parquette: Got it. So, that will go back to more normal level. Okay. All right, thanks.
Operator: Your final question will come from the line of Prashant Rao of Citi.
Prashant Rao: Hi. Good morning. Just two quick follow-ups. The operating cash flow for next year looks pretty strong and you guys have paid down a lot of debt and made a lot of progress there on the capital structure. Just wanted to confirm, should we think of that operating cash flow as exclusively to pay down debt? Sort of getting a sense of how much will that reduce the needs for the amount that might need to be refinanced in 2018. Any thoughts around uses of that operating cash flow would be great.
Angeliki Frangou: Listen, we’re very mindful of our balance sheet and we’re very quick of addressing issues well in advance. That’s why we have, between 2015 and 2016, added $200 million to the collateral of the term loan and we prepaid $50 million, almost 20% of the term loan. When we see the use of proceeds from this growing cash flow, number one, we are mindful that we are in a cyclical, seasonal business. So, yes, I don’t believe we are in a high environment. This is really an early part of the recovery, but we can have seasonalities. We have Q1 – different quarters as we have seen being affected even from weather patterns. We will see to on how it develops. The container sector still is unclear. You had the ripple effect of Hanjin, which will be settling down at one point. But we have to be mindful. So, we have seen that, let’s say, that the drybulk has bottomed and it’s clearly in a well-supported level, going slowly in the recovery. So, we are mindful and we’re watching opportunities in the sector.
Prashant Rao: Okay, that makes sense. And just a quick one on some of the charters that are above market remaining, for example, like the Melodia charter with KLC that was – that insurance suspension in April, while KLC is realigned and now seems to be back at charter at the normal rate. It might be asking a little bit too much to guess at this, but how would you think about incremental risks and modifications on some of those above-market charters now that Hanjin risk is sort of behind you, the HMM risk is sort of behind you? Is it settled in the market now going forward? Do you feel like what’s done is done and now you – this is sort of the new…?
Angeliki Frangou: I think whatever is done is done. Let’s realize that what is your risk is – as I mentioned before, Yang Ming is Taiwanese government. You have HMM which is restructured. And then you have Rio Tinto, which is well established. You have Constellation and you have, in essence, KLC which is restructured out of a Chapter XI restructured company. 
Prashant Rao: Okay, that’s great. And just one quick modeling question, what’s your maintenance CapEx expectation for sustaining CapEx for 2017?
Efstratios Desypris: Actually, these are part of our operating expense. So, you can [indiscernible] so that it’s not an amount that is material. We expect to have a couple of vessels coming in drydock in 2017. 
Prashant Rao: Okay, thank you very much. Appreciate the time.
Angeliki Frangou: Thank you.
Operator: Thank you. I will now return the call to Ms. Angeliki Frangou for any additional or closing remarks.
Angeliki Frangou: Thank you. This completes our Q3 results.